Mar Martinez: Good morning, ladies and gentlemen, and welcome to the First Q 2022 Results Presentation, which, as always, will be hosted by our CEO, José Bogas; and the CFO, Luca Passa. Following the presentation, we will have the usual Q&A session open to those connected on the call and on the web. Thank you.  And now let me hand over to José Bogas.
José Bogas: Thank you, Mar, and good morning, everybody. Let's start with the highlights of the period. The result we present today are clearly marked by the persistent instability in the macro context and increased gas volatility in market worldwide. Coupled with the headwind of a war scenario in Ukraine, we have witnessed a new all-time record pool prices across all European countries, with growing inflation, have led the European Union to allow governments' intervention in their energy markets. Our operating results could not be immune to this context, leading to a 10% drop in EBITDA while net ordinary income decreased by 31%. To overcome such challenges, we have accelerated our energy mix decarbonization by increasing our investment effort by more than 50% versus the previous year mainly in renewables and distribution. At the Annual General Meeting held last April 29, a total dividend of EUR1.437 per share was approved, maintaining a 7% dividend yield for 2022 with a final dividend of EUR0.937 per share to be paid on July 1. Moving now to market context on Slide number 4. During the first quarter, the demand in Spain came to a standstill, in clear contrast with the recovery trend initiated last year. The war in Ukraine and the transportation sector strike in March added to the already visible sign of the economy's slowdown in January and February as a consequence of high energy prices. As a result, accumulated mainland power demand in the period decreased by 2.9% compared to the previous year. Likewise, in Endesa's concession area, gross demand decreased by 1.7% or 1.1% when adjusted by calendar and temperature effects. We observed a sharp consumption decrease in the residential segment due to rising energy prices and mild temperatures, coupled with the mentioned industrial downturn mainly affecting chemical and metallurgical sectors. To the contrary, the service sector recorded an 8.4% growth, thanks to the relaxation of COVID restriction. When it comes to pool prices, market imbalances and tensions in worldwide gas market have driven average pool prices fivefold versus previous year, reaching on average EUR229 per megawatt-hour with an all-time record high of EUR545 per megawatt-hour the 8th of March, thus making this month the most expensive ever. This conditioning factor can be extrapolated to most European countries which -- with their generation mixes and procurement source distinctions recorded similar electricity price levels. Moving to Slide number 5. We can see a brief overview of the latest development on the regulatory front with several measures to contain electricity bills. The publication of the second EU toolbox, REPowerEU, provides a set of guidelines to offset the impact of the energy crisis, stressing its temporary and exceptional nature. Among the main relevant issues, the European Union clearly supports the current CO2 market scheme as efficient, excluding energy sold in advance from the generation auctions and clawbacks, and opens the possibility of windfall profit clawbacks, but only for actual profit and never on a retractive basis. The European Union clearly advocates reducing dependence on fossil fuels and to accelerate renewable development as a medium- and long-term solution. Most of these measures were already enforced in Spain since 2021 and are mostly neutral for the sector. At the end of March, the Spanish government approved royal decree 6, which contains a set of temporary and extraordinary measures to contain electricity bills, such as reduction of charges and extension of tax cut, acceleration of the approval process of renewable projects, advanced settlements for record producers, increasing the social bonus discount rate and expanding financing scheme to all electricity industrial players; and finally, concerning the gas levy, its extension to the end of June, setting a split cap of EUR67 per megawatt hour for the inframarginal generation. We expect that the measures will have a neutral or very limited impact on our accounts this year. Lastly, it comes to the so-called Iberian cap gas. We still think that all measures could have been taken at the European level, limited in time and tackling the root of the problem. In the absence of knowing the details of the proposal yet to be approved, it is difficult to assess its consequence as well as to calculate its impact. Now we turn to the evolution of the operating parameters on Slide number 6. Over the last 12 months, we have continued to make progress in shifting the generation mix, bringing some 700 megawatt into operation. Mainland renewable capacity is 9% higher than in the first quarter 2021, while CO2-free sources now constitute 69% of our installed capacity on the mainland. Over the first 3 months of 2022, Endesa connected 56 megawatts of new wind plant to the grid and 142 megawatts of new PV, the San Serván project, which we have just finalized the testing process with the DSO and are at the final milestone to become operative in the second quarter. On the other hand, this first quarter has been one of the driest in recent years. In that context, the lower renewable output was offset by the higher thermal production, mainly CCGTs. Total mainland output reached in this quarter was 12.5 terawatt-hour, slightly higher than the previous year, while emission-free production remained at 80% of the mainland total output. Moving to Slide number 7. As of March, the pipeline has surpassed 80 gigawatt, supporting our growth ambitions to accelerate renewable deployment. The match pipeline now is worth around 8 gigawatt, all of which have TSO-awarded connection points. 2022 renewables target are thus secured as we have run 90% either in operation or in execution. With respect to the 4-gigawatt committed additions for 2022 to '24, we stand at around 50% addressed with over 2 gigawatt currently in execution or already built, with solar technology representing the majority of this project. Based on our policy of hybridizing storage with new renewable capacity, we aim at gradually incorporating batteries into newly installed renewable capacity once the regulation guarantees the competitiveness of these facilities. We are developing an innovative renewable model in Portugal, where we won two tenders: the gas transition tender in Pego with pioneering projects for the installation of solar, wind, battery and electrolyzer capacity; and the floating PV auction, where we were awarded with connection right for 42 MVA of hybrid floating solar PV with a wind and battery facility in North Portugal. Let's now take a closer look at customer on Slide number 8. Total sales in the first quarter 2022 decreased versus the previous year by around 5% to 22.1 terawatt-hour, registering a 14% drop in regulated sales and a 3% decrease in liberalized sales. The 6% decrease in industrial sales is clearly marked by the economic slowdown. The sustained and very focused commercial strategy followed by Endesa and the introduction of more appealing offers have strengthened our position. Almost 800,000 new customer were added to the free market during the last 12 months. Looking at Endesa X, electric mobility performed extremely well with a 36% increase in the number of installed charging points that now reach a total of 10,200. In this regard, let me comment on the recent spin-off of the electric mobility business, creating a new company called Endesa X Way, and the subsequent sale of a stake of 51% to Enel X Way. It will allow us to promote the capabilities being developed worldwide to provide value-added services in the field of electric mobility in the Spanish and Portuguese market. On Slide number 9, electricity sold in the Iberia free market decreased by 3%. The unitary integrated margin remained around EUR30 per megawatt-hour, almost flat compared to 2021 despite the complex and challenging market and price scenario resulting from unitary revenue that rose to EUR141 per megawatt-hour associated to a higher pool price context and a slight increase of indexed seller sales; increasing variable costs due to higher fuel and energy purchases at a higher unitary price. Integrated margin reached around EUR550 million, almost flat versus the previous year. Analyzing the breakdown, let me anticipate that in January, a new intercompany contract came into force between the electricity generation business and supply, setting a new bilateral price of EUR65 per megawatt-hour for oil price-driven production. The generation margin increased mainly due to this new price reference and a higher thermal output, partially offset by lower hydro and wind output. The supply margin was likewise affected by this -- by the increasing sourcing cost and high ancillary and ship costs not passed on to our customers. No effect on our position. Regarding forward sales, 100% of our 2022 Price-driven output and 82% for 2023 have already been hedged at the baseload price of EUR65 per megawatt-hour set in the new bilateral contract between our generation and supply subsidiaries. In network, and I am now on Slide number 10, volumes of distributed energy remained almost flat during the period. The upward trend in service quality shows a steady improvement. Our effort to improve quality and efficiency resulted into a drop in losses that improved 0.3 percentage point while TIEPI improved by around 7%. I now hand over to Luca, who will detail the financial results.
Luca Passa: Thank you, Pepe, and good morning to everybody. On the financial highlights, I'm on Slide number 12, EBITDA stood at EUR914 million, decreasing by 10%, and net ordinary income was down by 31% year-on-year, reaching EUR338 million, both of them affected by the absence of positive nonrecurring items and extremely volatile scenario that have weighed on the performance. Funds from operation reached minus EUR476 million, affected by the temporary worsening of working capital. This set of results reflects the extremely difficult market context Pepe previously commented. Moving to the detailed analysis of the period on Slide 13. We have invested almost 50% more than the previous year, mostly allocated to networks and renewables, with the remaining portion deployed on customers and conventional generation. EBITDA reached EUR914 million, minus 10% versus first quarter 2021. Generation and supply showed a degradation of 11%, clearly affected by the nonrecurring item booked in first quarter 2021 from the 2006 CO2 sentence amounting to EUR188 million. Distribution EBITDA declined by 9% to EUR432 million. Going into more detail, customer business was impacted by the increase of commercial sourcing cost mainly as a consequence of the bilateral contract with generation business not passed on to the final customer. Excluding the one-off mentioned before, EBITDA would have increased by 10% over the period. Moving now into a deeper analysis, we are on Slide 14, on the generation and supply business. Gross margin amounted to EUR898 million, minus 4% versus last year, mainly impacted by the absolute -- the absence of the one-offs and an increase in generation and supply margin by EUR151 million due to management of commodities for EUR160 million; the slightly lower integrated margin for minus EUR21 million, as previously explained; non-mainland generation margin was reduced by EUR87 million mainly explained by the negative full margin compensation impacted by the regulation, which still does not recognize the actual fuel cost. In this context, we have been able to offset this negative, thanks to a successful management of our gas sourcing activity. In the gas business, we booked a positive delta of EUR61 million versus the previous year as a consequence of the improvement in the wholesale activity, partially offset by lower retail margins. And finally, positive evolution of Endesa X. EBITDA reached EUR482 million, minus 11% decrease versus last year or plus 35% if you exclude the one-off, as previously commented. Fixed cost and others increased by EUR25 million, mainly due to higher activity. Moving to distribution on Slide 15. Distribution margin dropped by 7%, mainly affected by the previous year's settlement. EBITDA decreased by 9% to EUR432 million, a similar amount as fixed costs and others remained almost flat over the period. And now moving on P&L evolution from EBITDA to net ordinary income on Slide 16. Ordinary net income came in at EUR338 million, down by 31% year-on-year based on lower EBITDA by minus 10%; higher D&A by 5% due to the investment effort; lower financial charges as a result of the interest for the 2006 CO2 sentence booked in the first quarter of 2021, partially offset by the update to the workforce reduction plans, provisions and other minor effects, and lower cost of debt from 1.7% last year to 1% in first quarter 2022, partially compensated by lower effective tax rate now at 23.1%; and finally, higher minorities for better results of renewable companies mainly in wind with minorities. Net of nonrecurring items booked in 2021, net ordinary income would have increased by 14%. Moving to the cash flow on Slide 17. Funds from operation reached minus EUR476 million, affected by working capital swings of EUR1.3 billion, out of which about EUR800 million are expected to be temporary and corresponds to EUR0.6 billion associated with the sudden change of the energy market environment, which unbalanced the equilibrium between vendors' payments and clients' bill collection; EUR0.2 billion mainly from higher regulatory working capital. We expect the above effects impacting working capital to normalize over the year assuming stabilization and normalization of the energy context and no further regulatory measures. I will now move on the debt evolution, and I'm on Slide number 18. Net debt amounted to EUR10.3 billion, EUR1.5 billion higher than in full year 2021. The increase was mainly driven by EUR500 million of temporary degradation of FFO, as previously commented; EUR500 million of cash-based CapEx raising by 25% versus 2021; and another EUR500 million of the interim dividend corresponding to the 2021 results. Regulatory working capital at the end of the first quarter of 2022 was EUR963 million, about EUR168 million higher than in the full year 2021. Based on the assumption of no further regulatory intervention and a stabilization of the market scenario, we still expect the net debt to be at EUR9.5 billion at year-end once the negative temporary impact in FFO is moderated in the coming months. Our leverage measure, net debt-to-EBITDA ratio of 2.5x. Average cost of debt decreased to 1%, which is the historical low in basically financing cost for us. And it's, I think, historical in comparison with other utilities as well. Despite, obviously, the decrease in interest rates, we expect the cost of debt to basically remain below 1.5% by year-end. Endesa has further consolidated its position in sustainable finance. As a result, the amount of gross debt which are sustainable is in the region of 65%, well on track to reach the 2024 target. We enjoy a comfortable access to markets, adding liquidity for about EUR4.4 billion, which allows us to -- basically to mitigate debt repayment for the next 23 months, almost 2 years. And let me hand over now to Pepe for his final conclusion.
José Bogas: Thank you, Luca. To close this presentation on Slide number 19, I would like to share some final remarks on the main achievement of the quarter. The resiliency of our long-proven integrated business model, which has allowed us to cope with one of the most complex energy scenarios so far. Our customer strategy allowed us to attract new free market customer, benefiting from energy and a wide range of valuable services at competitive prices. The strong commitment to our customer has gained even greater importance where our commercial strategy is evolving to more efficient and long-term energy solution offer aimed at mitigating rising energy costs for homes and businesses. More than 90% of our additional renewable capacity targeted for this year is already in execution or in operation, which make us feel fully confident to reach the milestones set in our last business plan. And finally, our solid track record of delivering [encompass] years make us confident to successfully navigate the risks and opportunities that may arise during the remainder of the year in order to achieve the EUR4.1 billion EBITDA and the EUR1.8 billion for net income guidance committed. And ladies and gentlemen, this concludes our first quarter 2022 results presentation. Thank you very much for your attention, and we are ready to take some questions.
Mar Martinez: Okay. Many thanks, Pepe. Thank you, Luca. We can start now with the Q&A session.
Operator: [Operator Instructions] I will now hand over to Mar Martinez for the Q&A session.
Mar Martinez: Okay. And the first question comes from Alberto Gandolfi from Goldman Santa.
Alberto Gandolfi: Three but hopefully quite quick. The first one is a question regarding your liberalized activities. Is there any way you can explain a bit more in depth how you made money in energy management or trading? Because I understand perfectly that you created an infra company contract from generation to supply, and I understand the supply portfolio lost money because of that. But can you tell me any offset, the energy management and trading? And do you plan to reprice the retail portfolio throughout the coming 12 months? So should we see an acceleration of retail margins here amid the normalization in energy management and trading? The second question is, I think you've been very clear with the working capital movement similar to the call we heard for your parent company. One thing that I would like to ask you here a bit more in depth is given there's quite a lot of debate or maybe lack of trust on the debt evolution, is there any way you can break down a little bit more the working capital movement between what may be a margin call, what may be a mismatch between procurement and sales or what has to do with regulatory measure, a tariff freeze for a certain segment, if at all? So just to give us the building blocks and give us confidence that really it's going to reabsorb and stay low then from Q4 onwards. And the last question is about regulation. So it's quite -- thank you for commenting on the price cap on gas, the average of EUR50. It's quite clear that obviously, the forward curve seems already to have adjusted for it. So we are now at about EUR140, EUR150 for 1 year forward. My question, I guess, is EUR140, EUR150 is still relatively high compared to history for hydro, nuclear merchant renewables. So do you also expect the gas clawback to be extended beyond June? And if so, I mean, I'm trying to figure out here the logic, right, why would you do a clawback then put a price cap on gas and then fully pay as a pass-through the gas to a CCGT? I mean it's quite a complicated way to basically put a price cap on fixed cost and just remunerate CCGTs, unless there's an issue between spot versus forward-pricing mechanism that I'm not understanding.
José Bogas: Alberto, I will try just to give you some color to the third question, the one in relation with the regulation, and then Luca will answer the two first question. The first thing that I would like to say is that this cap, EUR50 in average of gas for the offer that should realize the combined cycles is something that we have been discussing with the government because we think that what it is needed is just to take some kind of solution that really finish with the problem that we have. Let me say that this kind of solution could mitigate the impact to our customer, which is very, very important, and we agree, but this measure, let me say, over-realize in -- on the fuel, in that case on gas, and it is not going just to cancel or to reduce the real problem, the root cause of the problem of the crisis that we have today. Having said that, you are right, we are going to have prices -- electricity wholesale prices something around EUR140, EUR150, higher than the EUR67 per megawatt-hour that we have in the so-called gas clawback. What is going to happen in the future? Well, I think it would be natural, let me say that just to try to incorporate one and the other or try to simplify it, the regulation that we have today. Nevertheless, it could be possible that -- just to have the capped gas and then to have the gas clawback in the sense that the inframarginal generation continues been -- selling at this EUR65, in our case of EUR67 per megawatt-hour. We will see what happen in the future because, as I have said, we think that this measure, the so-called Iberian exception, is not going just to resolve the problem, is going to mitigate the problem. Now we will see what's happening with the evolution of the problem with really realizing the REPowerEU measures that try just to reduce the dependence on the Russian gas, to accelerate the deployment of renewable to increase the savings, the efficiency in electricity and all these kind of things. These are going to be the measure that will resolve the problem that we are living now. This price cap, it's something just to reduce or mitigate the impact on our customer. But having said that, with some strange things, let me say that, in the sense that we are going just to distort the price signal and also we are going to over-realize in the fuel or -- I mean, the gas component.
Luca Passa: On the first question, liberalized activities, just to give you some more detail, Alberto. Basically, the generation margin has increased by about EUR190 million mainly due to higher price reference in the region of more than EUR140 million, which is driven by the bilateral contract that we have commented before at EUR65 between generation and supply and also higher thermal margin for about EUR20 million, that obviously all of this positive effect are to offset the negative lower hydro output and wind output that we had for the quarter, which accounted for about EUR55 million. And our supply margin, which, on the opposite, was negative for about EUR200 million, was affected by, obviously, this higher sourcing cost for the bilateral contract, the EUR65, for about EUR150 million and higher ancillary and ship costs for about EUR60 million, which obviously was not passed on to the final customer. So these are the effects for the quarter. Now when it comes to supply for the remaining of the year, we are basically plotting supply margins between now and the end of the year in the region of EUR6 megawatt-hour, which means that we will have supply margins in the region of EUR9 megawatt-hour for the rest of the year. And that is based, obviously, on the better sourcing cost, normalization of ancillary services, obviously lower OTC references for the supply business as well as some, let me say, renewal of all contracts that obviously have very low references, so some repricing is expected towards the rest of the year, taking into account what is the regulatory environment at the moment in Spain. And for the second question, when it comes to the evolution of working capital, let me say that first of all, the first quarter always is a quarter with a negative working capital. Last year was in the region of EUR400 million. If you take out the temporary effect this year, it would be in the region of EUR500 million. And now the EUR800 million that we refer as temporary within the EUR600 million associated to basically the mismatch between -- or the imbalance between vendors' payment and the clients' collection, I can refer to about EUR200 million to basically the balance between the receivable and payable accounts, you know that we pay the energy on a weekly basis, then we need to invoice the final customers and recover the money from the final customers, and that takes weeks, and about EUR400 million for the commodity management that we mentioned that obviously had a positive effect on margins in generation and supply, and about EUR200 million of higher regulatory working capital, which basically the majority is in the islands, and then you have a little bit when it comes to renewables as well as for regulated gas. So these are the effects. So now the expectation on the debt at year-end and 9.5, which is the confirmation of what we said in February when we presented the full year results, is based on regulatory working capital of EUR1.1 billion and FFO north of EUR3 billion, which is basically our budget for this year. So we expect to recover all these temporary effect throughout the year.
Mar Martinez: The next question comes from Harry Wyburd from Bank of America.
Harry Wyburd: Just two questions from me, please. So firstly, I was just interested, why did you set this bilateral contract at EUR65, which obviously is just below the cap of EUR67? And how long do you expect it to persist to foresee EUR65 for? And then is there a restriction -- is there any restriction in the price cap on what retail margin you can earn on top of the EUR65? Just trying to understand that interaction between the price cap and that level of EUR65. And then the second one is on your Cheniere U.S. gas procurement contract. So I think that's a kind of big 3 bcm procurement contracts. And in theory, that's now massively in the money. So I just wanted to understand, are you hedged on that contract? I know that some of your peers are, which means they can't benefit from it in the short term. But I'm interested to know if you swapped it into TTF for a period of time. And is there any -- has there already been any impact on your results from that? Is that one of the things that's been driving your gas margin movements this year?
José Bogas: Harry, let me say something about the first question, and then I will pass the -- the first question and the second question to Luca. Why EUR65, below the EUR67? Just because, well, we decided just to establish this price before this EUR67 and based on our reasonable cost for our inframarginal output. It is possible or would be possible just to increase in the future this price, so there is no -- any problem for us. On top of this price, you should take into account the ancillary services and also the ship cost. So we feel comfortable with this price that really cover our full cost. How long we will maintain this price? Well, at least we have decided just to have this price during the -- over the year 2022. We will see if we continue or we increase or we'll reduce. It would depend on the evolution of the wholesale pool prices in the next year. But in my opinion, we will maintain or we will increase a little this price just to get to the EUR67. Luca?
Luca Passa: When regards to the second question, the Cheniere gas procurement, we are hedged for this year. But in terms of the hedging on gas procurement, we do it on a 12- to 18-month basis. And that's it. I mean, very different from other peers with a hedge for a longer period of time. Now in terms of our hedging on gas, it's about 80-plus percent for this year and 33% for next year when it comes to the retail business.
Mar Martinez: We'll move to the third analyst. That is Manuel Palomo from Exane BNP.
Manuel Palomo: I've got a couple, first of all, on guidance and then maybe another one on the charging stations. On the guidance, what I see is that Q1 '22 hedging may be a bit weaker than we could have expected, and I wonder whether you could help us to build the bridge to achieve the full year '22 guidance. I mean what are going to be the moving parts that you expect to improve in the coming quarters and whether you could, well, quantify them a bit and also if you are assuming any material one-offs. That is the first one. And then on the charging points, I've seen that you have significantly increased year-on-year the amount of charging points from to 7.5 to 10.2. I wonder whether you could give us a reference about what is your main expectation on anything, on returns, on EBITDA per charging station or anything that could help us to have a better view on how this business is evolving. And finally, I'd also like to ask you about the minorities. I mean I've seen that there's a very, very significant increase in the minorities compared to the first quarter last year. You've mentioned that it's due to the, well, good performance of the renewables. However, on the other side, we've listened to you saying that the hydro and, of course, the wind performance have not been that good. So I wonder whether you could, well, clarify or shed a bit more light on why that significant increase in the minorities figure.
José Bogas: Manuel, Luca will answer. But let me say we are absolutely confident that we will reach the guidance at the end of the year. You should take into account another thing. If we don't take in consideration the one-off that we had the previous year, I mean, the EUR188 million, if I'm right, of the CO2 coming from the year 2006, we will -- we would have surpassed the EBITDA and the net income compared to the past year. So we feel confident. We think that is going to be some kind of things like the hydro that we will manage over this year. But on the other hand, there are a lot thing, also one-off, that we will be sure that will help us just to reach or surpass the guideline that we have today. And with regard to the recharging stations, well, this is a business that it is starting, let's say, the -- well, the figure that we have reached, public and private recharging station, 10,200, it's quite a figure. But what we believe is that during the next, say, years, we will see an acceleration in the electricity, in the e-mobility. And then that is where we're expecting that we need to invest during the first year, but we will reach a good result with the viability of this business. And Luca, if you want just to...
Luca Passa: When it comes to basically the guidance, let me say that we expect basically distribution to be on budget and recover this negative impact that we have basically experienced in the first quarter for EUR32 million. And when it comes to the integrated margin for the full year, we basically expect to be aligned with the absolute value in terms of guidance, which is EUR2.5 billion, but with a slightly higher unitary margin in the region of 34.5% versus basically just shy of 34% that we had in budget because obviously, we expect lower sales in terms of volumes in the region of 72 terawatt-hours. Now the impact of bilateral contract between generation and supply will be a positive of about EUR300 million in generation and a negative for the same amount in the supply business. So in the supply margins, taking aside this negative, we expect basically to have an overall negative of ancillary services and ship cost for about EUR80 million. When it comes to the generation margin, basically we expect to have a negative impact in the region of EUR90 million for a lower hydro output that we estimate at the moment in the region of 1.3, 1.4 terawatt-hours towards the full year, I mean, versus a median year in terms of hydro output. That is basically supported or mitigated by better thermal results in the region of EUR35 million to EUR40 million. Basically, the contribution of the short position in the region of EUR50 million between now and year-end, it basically contributed 0 up until now. And then obviously, we have positives coming from the suspension of 7% generation tax that has basically been suspended up until June this year, as well as less hydrocarbon taxes given the new regulation of hydrocarbon and some of the regulatory renewables that will come off the regulatory basically period because the investments are repaid. So these are basically the effects. As I commented before, when it comes to the supply margin, we expect a supply margin in the region of EUR6 megawatt-hour for the full year, which is a reminder for the next 9 months of EUR9 megawatt-hour. And obviously, this guidance doesn't assume any contribution from a positive one-off that might come throughout the year. Then when it comes to the second question, let me just add to Pepe's that we do not expect EBITDA contribution within the plan. The EBITDA contribution of the e-mobility business will come beyond the plan in terms of positive contribution. And for the minorities number, basically we have a delta of -- in the region of EUR22 million between the 2 periods. So a contribution of EUR20 million from 9 wind companies that are with minorities in the renewable business, which obviously has benefited from higher a pool price vis-a-vis last year, high -- the contribution has been higher. And some of them were also regulated -- a couple of them were also regulated that came off from the regulatory scheme because investments was repaid. So that is the effect that you see on minorities for the first quarter of this year.
Mar Martinez: We have now Javier Suarez from Mediobanca.
Javier Suarez: Two remaining. The first one is on the possible introduction of a price cut for gas for the thermal technologies much more than forecast at EUR50 per megawatt-hour. The question is, would you agree with the argument that the impact on your P&L should be limited since most of your inframarginal capacity has been sold forward, but that should be a negative working capital impact related to the fact that the pass-through is not going to be automatic? And if that is the case, don't you think that we are entering into a phase on which there is this structural worsening in the working capital that needs to be accounted for in company's strategy? So the question that I wanted to ask is, do you think that this additional necessity to absorb working capital is something that may impact your capacity to continue deploying capital or maybe paying dividend?
José Bogas: Javier, let me say, first of all, that as we have said, we estimate a limited impact in our P&L just because this EUR50 per megawatt-hour of gas, this cap, it's not going just to affect our inframarginal generation that we are selling at EUR65 per megawatt-hour. This cap will reduce the wholesale price that we have today, something around EUR200, just to EUR140 or EUR150, let's say that. So it is not going just to impact us. On the other hand, I think that it will help us just to reduce the working capital. But Luca, could you...
Luca Passa: On the working capital, basically, Javier, this is our temporary evolution. I mean I think we've never seen the spikes that we've seen at the beginning of -- the end of last year and the beginning of the same in terms of pool prices. So it's common to have this imbalance when it comes to working capital. This doesn't mean that this might affect our investment decision as well as, let's say, our dividend policy. To the contrary, I mean, again, these are temporary measures that -- the European Commission, Spanish and Portugal government are working on measures in order to reduce the impact on pool price, which is the one that is actually affecting our working capital. Obviously, what I said clearly is that the assumption when it comes to FFO evolution, net debt evolution for the remainder of the year is based on the fact that we don't have other intervention that might affect basically working capital from a regulatory standpoint. That is something that at the moment we don't have visibility on. But let me say that all the intervention in the past actually has affected in some way our working capital -- our and the sector working capital evolution because in the end, the first -- the test to basically finance the measures that the government are taking are actually the companies which are within the sector.
Mar Martinez: Following questions come from Fernando Garcia from RBC Capital Markets.
Fernando Garcia: In gas, following on Harry's previous question, can you clarify if the EUR3.5 per megawatt-hour unit margin is all cash? Or what part of that is cash? And as well in gas moving to retail, can you comment about your strategy in retail given the cut in the Last Resort Tariff? And what is the impact of -- for Endesa if that last resort gas cap is extended beyond June 2022?
José Bogas: Well, I think the details will be explained by Luca. Let me say that with regard to our strategy in retail in gas, well, we continue -- first of all, we have decided that, you know very well, just to go out of this business of gas in the year 2040. That is 10 years in advance to the 2050. We think that we need to reduce the reliance in this gas for many things. One very important issue that we are living now is the situation -- the geopolitical situation with Ukraine and Russia, and we need just to reduce the dependence on the Russian gas. And also, going forward, we need to reduce the use of gas in the future, gradually but just to reduce. Having said that, our strategy, well, in the short term is just to continue but not trying to increase our position in gas, trying to maintain or reduce, as I have said, gradually this position. But in any case, Luca?
Luca Passa: When it comes -- I guess you're referring to the slide in the annex, Slide 25. So the 3.5% in terms of unitary margin for gas is total gas. So it's wholesale plus retail. The evolution of gas gross margin has been an increase of EUR61 million basically in the first quarter to EUR72 million in total. And basically, these are driven by significant improvement in the wholesale activity. We're talking about EUR146 million more, which includes EUR70 million of positive basically mark-to-market when it comes to gas hedges, which allowed basically to compensate the negative margin obtained in the retail activity, which is basically in the region of EUR85 million. This negative in basically gas retail has been the results of seasonality and higher sales above basically contracted volumes that we had to basically recover into the market. So the 3.5% is for the overall gas business. And then to your last question, if basically royal decree 6, either -- gas [Indiscernible] would have been extended towards the end of the year. To be honest, it depends on the terms on which it is extended. But at the moment, we do not foresee any impact to our business even if it's extended.
Mar Martinez: Okay. Thank you. We have now over Javier Garrido from JPMorgan.
Javier Garrido: I have a couple of questions left. The first one is just to see if I understand with my simple mind the message you have given. Because if I remember correctly, at the end of last year with the full year results, you said you have hedged your fixed cost generation of EUR54 per megawatt-hour for 2022, and you were expecting supply margins in line with last year's EUR10 per megawatt-hour. And now you have this intracompany contract for inframarginal production at EUR65 per megawatt-hour, and you are expecting EUR6 per megawatt-hour of supply. Are those numbers correct? Because if correct, they would indicate a very significant increase in the profitability for your fixed cost generation capacity. And the second question is on the price cap. Well, firstly, thank you very much for being so open to discuss it even before it's approved. That's incredibly helpful. And I would like to understand, what could be the mechanics for passing through to clients the compensation that will be due to thermal generators? Because -- are you expecting either it's your conversations with the government suggesting that is it going to be a fixed fee in the tariffs or will each supplier need to pass through to each client once the contract comes up for renewal? How will the mechanics work?
José Bogas: Javier, let me try to give some answers and then Luca will go more in detail. Well, you are right, when we said -- and you'll remember well that when we said that almost 100% of our output in the year 2022 was hedged at EUR54 per megawatt-hour, that is clear, and it's what we did. But yes, because of the regulation, we decided -- looking for a reasonable price in the future, what we thought is that a reasonable price should be or could be the EUR65. That why we decided just to change this bilateral contract between our supply company and the generation company. That is, yes, to move, if you want, result from one company to the other, but not changing the total results. What it is clear is that we have reached this first quarter the integrated margin, the whole integrated margin really at around EUR30 per megawatt-hour. That is very similar to the ones that we get -- we got in the past year. So we feel comfortable. We feel confident. And then Luca will explain a little bit more deeper. Just in the price cap, how we are going to pass, let's say, that -- these -- the cost of the compensation to the final customer. I really don't know. We need just to see the details of that. There are some ideas about that, yes, because you should take into account that if you pass to all the customer, what you are going to do is just to reduce one index to the pool price, but you are going just to increase the price of the ones that have decided just to hedge their position or to sign a fixed-price contract. We will see how it's going to be resolved, this point, but we need just to know the details.
Luca Passa: And on the liberalized margin expectation for the full year, basically I repeat what I said, Javier. We expect 72 terawatt-hours in total of volumes -- or sales, which basically means another 54 between now and year-end. We expect an integrated margin of 34.5% based on this amount of sales, which means that we will have an integrated margin for the next 9 months in the region of EUR36-megawatt hour. This imply for the full year a supply margin just above EUR60-megawatt hour, which means for the next 9 months, a supply margin in the region of EUR9 megawatt-hour. Now the bilateral contract that Pepe was referring before, basically transferring some margins between the generation business and the supply business, obviously positive on generation and negative on supply. And those are the difference. But in terms of -- the evolution of the business is the one that we also commented at the end of the year, just with different numbers for this bilateral contract.
Mar Martinez: We move to the following questions. Comes from Jorge Guimarães from JB Capital.
Jorge Guimarães: Most of my questions have been answered, but I have one regarding the non-mainland business. I believe I understand that the gross margin for the Q1 was EUR41 million. So I would appreciate if you can confirm this. This is in the last pages of the presentation. And what would be the full year '22 EBITDA range for the non-mainland area? I know that you are not separating anymore from a formal point of view, but any help on that would be helpful.
Luca Passa: Jorge, when it comes to mainland island, yes, it's correct, the margin for the quarter, a positive EUR41 million with a negative effect of about EUR82 million for the basically cost recognition when it comes to generation. Expectation for the full year, unless there is basically a change in the regulatory scheme up until now, is just EUR100 million of contribution to EBITDA, with this negative effect on basically the recognition of the cost for the generation, which will be relevant. But obviously, as mentioned before, we are -- continue to basically mitigate through hedging on our sourcing gas activity.
Mar Martinez: Next question comes from Antonella Bianchessi from Citi.
Antonella Bianchessi: Just a quick recap on your forward sales for 2023. So how much is the price that you sold to final customers, so excluding the intercompany movement? And if you can repeat the volume that you have secured for 2023. My other question is really on the distribution. We have seen OpEx going up. So I wonder if you can elaborate what we expect on a full year, if there are any intervention in order to reduce the OpEx. And then on the return on CapEx because obviously, the distribution, as -- this takes a return of 5.58% pretax. With the Spanish rates at 2.2% today, I wonder, which is your view on the value creation of the CapEx in this area? And finally, if you can kindly repeat the guidance for net debt on a full year basis.
José Bogas: Antonella, with regard to the first question, the forwards price for the year 2023, well, this price now is higher than the one that we have in our bilateral contract between the -- our supply company and our generation company. We will see how evolved the prices in the year 2023. But in principle, what we will do is just to continue with our policy and our bilateral contract just more or less to cap our price at EUR65, which is a good price that really cover all -- the full cost of our inframarginal technologies.
Luca Passa: So going back to the integrated basically numbers for the liberalized business for the full year, I repeat, Antonella, we're expecting 72 terawatt-hours of sales with integrated margin of 34.5% and a supply margin of 6.2%. And, as Pepe out, 82% of the generation -- basically inframarginal generation is already hedged at EUR65 megawatt-hour. When it come to the net debt figure expectation for the end of the year, we're expecting EUR9.5 billion of net debt, confirming what we said in February when we announced full year results. And that is based on a regulated working capital of EUR1.1 billion and FFO generation above EUR3 billion for the full year. Then on distribution return on our investment, obviously this is a regulated business where you don't have a pass-through of inflation. But clearly, the resets will be done in the forthcoming couple of years. So inflation will have an effect on interest rates, and we expect that we have, let me say, a benefit on the evolution of the resets for the next regulatory period. But at the moment, we don't have an inflation pass-through on the formula, and there are no discussion at the moment to include an inflation pass-through on the formula. And then when it comes to OpEx evolution, we -- the guidance for the full year remains at EUR1.8 billion in terms of OpEx. Yes, you have some seasonality in the first quarter, a higher OpEx for -- in the region of total less than EUR50 million where you have activities which are obviously basically spending more at the beginning of the year, and that includes, obviously, renewable includes a little bit the services business, also includes some of the O&M that we had to basically perform on some of the thermal plants for the first part of the year. But the expectation that we assure these and confirm guidance for OpEx at EUR1.8 billion in the full year. And I guess I've taken all the questions.
José Bogas: Yes.
Mar Martinez: We have now Gonzalo Sánchez-Bordona from UBS.
Gonzalo Sánchez-Bordona: I just had a couple of follow-ups on the regulation. Clearly, with the gas cap, we might get a better price for consumers, but there is still a much higher than historically, as we have -- or as you have said before. So my question is, where are we at the moment on the proposed auctions -- or forced auctions for the large suppliers and also on a potential reform of how the PPC is calculated? Because I think there were some consultations on that, but we haven't had much on it for a few months. And if you think there are any other things that might be done in the next few months in order to address the issue. Any comments on that, that would be very helpful. And also, just another question on the selling strategy that you have. I mean we've seen a significant change of customers from the regulated to the liberalized status, and clearly this is putting you ahead of the plan. So my question is, what is your expectation on that front and whether you think that could change a little bit your outlook positively or negatively? I would assume positively, but any thought is welcome.
José Bogas: First of all, with regard to the generation auctions, well, I would say that the European Commission state that this auction can not affect the energy already sold. And as we have said, we have sold all our inframarginal output generation for the year 2022. And almost all, if we take into account the [near-sell], because we have hedged more than 80 and taking into account the [near-sell], we would hedge 100 also for the year 2023. So that means if auction cannot affect the energy already sold, we will not be affected by this. That is what I can say. If we are expecting all the things in the next few months, we hope no, no. But who knows? But the real thing that we need is just to reduce the regulation because we have overlapping regulation now with a gas [global] with the cap on gas, with the auction, with CO2, with whatever. It will be helpful for all of us just to clarify and to simplify this regulation. So what we would like to see in the future is a reduction of this regulation, and we are not expecting more things just to regulate.
Luca Passa: When it comes to, well, the evolution of supply customer business, obviously, yes, we had a very good inflow in term of liberalized customers and obviously an outflow on the regulated part of the business in supply. How this might evolve throughout the year, a lot will depend on this new regulation because obviously, if implemented, the price cap on gas will benefit mainly, or from what we understand, specifically the regulated customers in supply. Therefore, let me say the outflow that we had seen in the recent quarters from regulated basically mitigates. And obviously, that obviously will mitigate our inflows on liberalized business. But again, as -- for now, I mean, this obviously is a very, let me say, steady business. So transition will be sensible and will take time. Therefore, we still have a few good quarters of customer inflows in liberalized business when it comes to supply. And on your second question, the regulated tariff basically change of discussions, I think it's still there. Obviously, as a sector, we made our comments to the proposal. But it's clear that the government is intervening for those customer with this proposal that supposedly should be approved very soon when it comes to the cap on gas for combined cycles.
Mar Martinez: This was the last question of our conference call. Just to say thank you for participating and remind you that the Investor Relation team is always available in case you have any other further questions. Thank you and have a nice day.